Operator: Good day, everyone, and welcome to Oklo Second Quarter 2025 Financial Results and Business Update Call. At this time, I would like to hand the call over to Mr. Sam Doane, Director of Investor Relations. Please go ahead, sir.
Sam Doane: Thank you, operator. Good afternoon, and welcome, everyone, to Oklo's Second Quarter 2025 Earnings and Company Update Call. I'm Sam Doane, Oklo's Director of Investor Relations. Joining me today are Jake Dewitte, Oklo's Co-Founder and Chief Executive Officer; and Craig Bealmear, our Chief Financial Officer. Earlier today, following the close of markets, we released our second quarter 2025 financial results. Today's accompanying slide presentation is available on the Investor Relations section of our website. Before we begin, I'd like to remind everyone that today's discussion, including our prepared remarks and the Q&A session that follows, will include forward-looking statements. These statements reflect our current views regarding trends, assumptions, risks, uncertainties and other factors that could cause actual results to differ materially from those discussed today. We encourage you to review the forward-looking statements disclosure included in our supplemental slides. Additional details on relevant risk factors can also be found in our most recent filings with the SEC. Please note that Oklo assumes no obligation to update any forward-looking statements as a result of new information, future events or otherwise, except as required by law. With that, I'll now turn the call over to Jake Dewitte, Oklo's Co-Founder and Chief Executive Officer. Jake?
Jacob Dewitte: Thanks, Sam. We're starting today's update by highlighting a wave of federal actions that are accelerating momentum behind advanced nuclear technologies and how Oklo is extremely well positioned to benefit. Over the past quarter, we've seen exceptional policy movement from sweeping executive orders to major legislation and national infrastructure strategies. Together, these actions reflect a coordinated federal push to speed up deployment of advanced nuclear technologies, strengthen domestic fuel supply chains and enhance U.S. energy independence. For Oklo, this shift is highly beneficial. These aren't just favorable signals, they're concrete steps that support faster licensing, faster deployment and better project economics for first-of-a-kind deployments. The next few slides will unpack the most significant drivers, the executive orders, the One Big Beautiful Bill and the Federal AI action plan, all of which align directly with Oklo's licensing strategy, customer partnerships and long-term cost advantage. The executive order signed earlier this year marked a historic shift in federal policy toward advanced nuclear. These executive orders build on legislation from the last Congress and administration to clearly recognize civil nuclear energy as a national and economic security priority. That designation alone reshapes the policy landscape and unlocks access to key government assets, including alternative fuel materials that do not require further enrichment. When used in advanced reactors like Oklo's, these material stockpiles could be made into fuel for more than 3 gigawatts of powerhouses. Just as important, these orders direct the DOE and NRC to move faster, streamlining regulatory reviews, reforming reactor testing and targeting 3 operational advanced reactors by July 2026. It's rare to see this level of alignment across permitting fuel access and deployment. The executive orders go beyond signaling support. They include clear directives that align directly with Oklo's strategy. First, they revitalize the domestic nuclear fuel supply chain with a specific emphasis on recycling. Oklo is one of the few fast reactor companies positioned to use downblended alternative fuel materials, which don't require enrichment. This fuel, combined with the industry- leading advances we are making in fuel recycling can give us a significant structural advantage. Second, the orders prioritize deployment of reactors at national security locations, including AI data centers and defense sites that aligns with where our customers are heading and where our small scalable powerhouse designs excel. Third, the orders mandate licensing reform, capping fees and setting an 18-month review window for new reactors. That level of regulatory clarity and speed will accelerate Oklo's path to market and strongly supports our combined license strategy. And finally, these orders direct DOE to accelerate reactor testing and target 3 operational advanced reactors by July 2026. That's an aggressive timeline and one Oklo could qualify to help deliver on. The One Big Beautiful Bill signed into law in July delivers a suite of policy wins that are directly aligned with Oklo's business model. First, it preserves robust investment and production tax credits through 2033 that then phase out through 2036. These credits improve our project economics and offer additional certainty for early-stage deployment. Second, the bill strengthens the loan program's office, establishing the energy dominance financing program. This is important because it provides access to long-term capital for projects that can't yet tap traditional debt markets like first-of-a-kind deployments. Third, it accelerates NEPA, the National Environmental Policy Act reviews by setting strict deadlines for environmental assessments and impact statements. That helps reduce permitting delays and improves timeline confidence across our project portfolio. And finally, the bill allows for 100% bonus depreciation for assets that begin construction by 2029 and are in service by 2033. That gives us the ability to capture meaningful tax benefits as we build out fuel and manufacturing capabilities. The federal government's AI action plan also released in July as a major new dimension to the demand landscape for advanced nuclear. The plan calls for a rapid expansion of AI infrastructure, including high-security data centers and resilient domestic energy systems to support them. It explicitly recognizes that achieving AI dominance requires building new sources of reliable, dispatchable power like advanced nuclear reactors. Our powerhouses are uniquely suited for this use case, delivering distributed baseload power that can be co-located with mission- critical AI workloads. The policy also calls for streamlining permitting, deregulation and expanded workforce training to support infrastructure deployment. As AI infrastructure scales, we expect both commercial and policy momentum behind advanced nuclear to continue building, and Oklo is focused on delivering power solutions that meet that need. With that context, I'll turn it over to Craig to walk through how our mission, model and design choices are translating into real execution advantages.
Richard Craig Bealmear: Thank you, Jake. Our mission at Oklo has always been clear to deliver clean, reliable and affordable energy at a global scale. Our co- founder started this company with the belief that advanced nuclear could play a transformative role in the world's energy future. That meant rethinking the entire model from how we design reactors to how we license, fuel and operate them. That vision continues to guide us today, and it's now clearly aligned with where policy, technology and customer demand are headed. Moving to the next slide. Oklo's competitive edge comes from the intersection of 3 key strategies: our business model, our sizing philosophy and our technology. First, we build, own and operate our powerhouses, selling power under long-term contracts. That creates recurring revenue and enables us to move more efficiently through the regulatory process. Second, our small scalable design allows us to deploy assets quickly, match customer demand in an incremental fashion and significantly tap into existing supply chains with factory fabrication, which reduces site complexity, cuts cost and supports faster rollout. And third, our technology is based on proven liquid metal fast reactor designs with over 400 reactor years of operating history behind it worldwide. That gives us a deep technical foundation with built-in performance and safety benefits. Importantly, it enables us to move directly into commercialization without the need for a costly and time-consuming demonstration plant. And finally, I really can't emphasize this point enough. It provides flexibility for Oklo to use fresh HALEU, recycled fuel and down blended alternative fuel for our powerhouses. Together, these advantages position us to deploy at speed and scale with a structure built for long-term growth. This past quarter, we made meaningful headway across all elements of our milestone framework from licensing and project execution to field development, customer growth and strategic partnerships. We advanced our NRC engagement, completing Phase 1 pre-application readiness and saw our licensed operator topical report formally accepted for review. We also took another step towards deployment at scale by selecting Kiewit as our lead constructor for the first Aurora powerhouse at INL. On the customer front, we expanded our pipeline of commercial opportunities with both the Department of Defense and Liberty Energy and advanced our corporate development efforts through agreements with Korea Hydro and Nuclear Power and Vertiv. We also remained disciplined on spend, keeping our cash burn in line with expectations and ending the quarter with a strong balance sheet. I'll now hand it back to Jake to walk through the progress we made this quarter across our licensing project and commercial front. Jake?
Jacob Dewitte: Thanks, Craig. We continue to make meaningful progress this quarter across our regulatory priorities. We completed Phase 1 of the NRC readiness assessment for the Aurora INL combined license application. The NRC found no significant gaps that would bar acceptance for review, reinforcing our readiness to submit Phase 1 of the application, which we expect to file in early Q4 after incorporating NRC feedback. We also had our license operator topical report accepted for review. This is an important part of our repeatable deployment strategy. It proposes licensing operators by Aurora technology rather than by site. Once approved, this report can be referenced in future applications, streamlining regulatory timelines and supporting scalable deployment. We're also seeing continued tailwinds across the regulatory landscape. The NRC recently accelerated Terra Power's review timeline by 6 months and introduced new fee reforms, reducing licensing costs through waivers and lower hourly rates. These changes further reinforce the momentum we're seeing and could benefit Oklo's licensing path going forward. And finally, recognizing that there's a lot to track on the regulatory front, we launched a public regulatory dashboard on our website that provides a transparent view of our progress across powerhouses, fuel and radioisotope licensing, helping keep all stakeholders informed as we move forward. Fuel is one of the most important inputs for advanced nuclear, and it's one of the areas where Oklo has built a significant strategic advantage. Our design enables a differentiated fuel strategy built around 3 complementary sources: access to government stockpiles, commercial supply partnerships and long-term recycling capabilities. This approach provides greater flexibility, cost control and resilience than traditional fuel models. First, we were awarded 5 metric tons of high-assay low-enriched uranium or HALEU from the Department of Energy in 2019 for our first powerhouse at INL, and we're uniquely positioned to utilize additional government fuel stockpiles made available under recent executive orders, including enriched uranium and plutonium-based materials that don't require further enrichment. These stockpiles, effectively waste materials that would otherwise be destined for costly disposal programs can instead be turned into a productive asset for clean energy by Oklo. Second, we're working with enrichers such as Centrus and Hexium to meet both near-term and long- term commercial HALEU needs. Centrus supports early deployment with available domestic supply, while Hexium's next-generation atomic vapor laser isotope separation or AVLIS enrichment technology could enable lower cost scalable production over time. And third, our fast reactors can use recovered nuclear material from both today's nuclear fleet and future advanced reactors, positioning us to recycle fuel over time and build a vertically integrated long-term supply model. Together, these efforts form a comprehensive and resilient fuel strategy, one that supports near-term deployment, while building long-term supply independence. As mentioned, fuel is a critical enabler for advanced nuclear deployment. That's especially true for HALEU, which comes with its own cost dynamics. Enrichment is measured in SWU or separative work unit and so are its costs. Cost of enrichment are actually driven by both ore and enrichment process efficiency. Producing 1 kilogram of HALEU requires roughly 35 to 60 SWUs plus 30 to 50 kilograms of natural uranium depending on market conditions that can create a wide range of cost outcomes. That said, Oklo's design and business model position us well for this market. We benefit from needing consistent high-volume fuel across many small units. That matches well with enrichment module capacities and allows us to scale demand over time. Smaller cores also mean more units in the field, creating steady annual uptake that supports long-term supply agreements. We're also watching next-generation enrichment closely. Laser-based approaches like Atlas could unlock more cost-effective batch-friendly production over time. Our engagement with Hexium positions us to benefit as that innovation matures. In short, we're managing HALEU costs in the near term, while building a supply model that reduces volatility and lowers long- term fuel exposure. Oklo's fuel strategy isn't just well designed. It's being executed today to support rapid deployment and long- term resilience. We've secured HALEU from DOE for our first commercial unit and our fast reactors are uniquely capable of using down-blended uranium and plutonium-based fuels, stockpiles that would otherwise be slated for disposal. With recent policy changes unlocking access, we can fuel dozens of early units from existing government material. We're also executing on commercial partnerships, Centrus for long-term HALEU and Hexium for long-term innovation. Their Atlas technology could materially improve enrichment economics over time. And our fuel strategy doesn't stop at procurement. We're building towards recycling. Oklo's reactors are designed to run unrecovered fuel, supporting a close fuel cycle and long-term resilience. This isn't just a vision for the future. We're operationalizing the strategy now with a model designed to scale. There's a growing consensus that nuclear power is fundamental to the country's energy future, but historically, costs and time delays have held it back. Nuclear power is already the most land and material-efficient energy source, but decades of legacy design, complex safety systems and custom-built construction have driven up both costs and timelines. At Oklo, one of the reasons we're in a strong position today is the disciplined approach we've taken to design and cost engineering from the outset. Our liquid metal sodium cool design enables inherent and passive safety, reducing the number of safety grade systems we need. That simplifies our architecture, streamlines regulatory reviews and lowers both capital and operating costs. We've also minimized the physical footprint of each powerhouse and designed around supply chain scalability, leveraging conventional components and proven industrial partners. In the next few slides, we'll talk through how these choices translate to faster and more cost-effective deployment, starting with our supply chain and system architecture. This is where our design and supply chain strategy come together to deliver real execution benefits. Roughly 70% of our powerhouse components are sourced from nonnuclear supply chains, industrials, energy and chemicals, for example. These sectors offer mature, scalable manufacturing capabilities that we can tap into today at lower cost and with shorter lead times than traditional nuclear fabrication. This isn't just about lowering cost. It's about reducing schedule risk as well. By designing around standardized shippable components like the reactor module, steam generators and power conversion system, we simplify installation, support parallel builds and minimize on-site construction complexity. We've also reduced the number of safety-grade systems by designing for inherent and passive safety. That helps streamline procurement and reduces the regulatory burden on our supply chain. Our preferred supply agreement with Siemens Energy is a great example of this strategy in action, and we continue to build out that ecosystem with more partnerships to come as those deals reach commercial readiness. These decisions help us scale faster, deliver sooner and meet the needs of customers who value both certainty and speed. We're also pleased to announce that we selected Kiewit as the lead constructor for the Aurora INL powerhouse. Kiewit is one of the most experienced engineering and construction firms in the country with deep expertise in complex energy infrastructure, including nuclear projects. Their capabilities go beyond construction. They also bring integrated procurement as well as asset and component fabrication capabilities that align well with our modular repeatable design approach. We've entered into a master services agreement with Kiewit intended to support the full scope of design, procurement and construction for the Aurora INL project. Preconstruction activities are scheduled to begin this quarter, including site mobilization, early procurement and groundwork. We're targeting a preconstruction groundbreaking in late Q3. This partnership and these efforts help ensure we're positioned to deliver our first powerhouse on a realistic executable schedule with commercial operations targeted between late 2027 and early 2028. In parallel, Atomic Alchemy, our radioisotope business has also begun site characterization work on its commercial isotope production facility at INL and submitted its materials license application through the NRC for its demonstration facility, continuing momentum on facility development for domestic radioisotope production. The demonstration facility will also produce revenue- generating isotopes, marking an early step toward commercial operations. We also signed a memorandum of understanding with Korea Hydro and Nuclear Power, one of the largest and most experienced nuclear operators and builders in the world. The agreement is focused on exploring opportunities to collaborate across a range of areas, including project development, licensing, manufacturing and supply chain coordination. This partnership reflects a shared interest in deploying advanced reactors globally and in continuing to drive innovation across the nuclear value chain. It also aligns with our broader strategy of forming international partnerships that can support commercialization and accelerate deployment. As part of our work with data center customers, we also announced a joint development agreement with Vertiv, a leader in data center infrastructure. The partnership focuses on co-developing integrated power and cooling solutions that take advantage of our ability to co-locate power generation and compute infrastructure. With Vertiv, we're building smarter nuclear power systems for compute- intensive infrastructure that could be a huge win for our customers. Vertiv will use steam from our powerhouses to drive chillers, improving the overall energy efficiency of the data center. This helps reduce total energy costs and allows customers to streamline infrastructure with a single integrated solution. It's a strong example of how we're working directly with customers and infrastructure partners to deliver tailored solutions at the core of their operations, not just selling power, but operating integrated value where it matters most. We continue to have active discussions with other commercial partners and suppliers to round out our deployment ecosystem, ensuring we can deliver scalable energy infrastructure with speed, reliability and efficiency. With that, I'll hand it over to Craig to expand on our commercial momentum and walk through the financial and customer updates from the quarter.
Richard Craig Bealmear: Thanks, Jake. One of the partnerships we're very excited to highlight this quarter is our work with Liberty Energy. Liberty was an early investor in Oko while we were still a private company and former CEO, Chris Wright, served on our Board prior to his appointment as the United States Secretary of Energy. We are excited that there continue to be opportunities to collaborate with Liberty in a meaningful way. This partnership is designed to solve a very real customer challenge, how to access reliable power now with a clear path to zero carbon baseload power over time. Together, we have the potential to offer a fully integrated solution that starts with Liberty's gas generation and load management platform that can transition to Oklo's nuclear powerhouses as they come online, providing a faster path to clean energy. This is a strong validation of Oklo's business model. It demonstrates how our powerhouses can integrate with existing infrastructure to deliver a phased approach that's flexible, financeable and customer aligned. Customers get the uninterrupted energy today and a long-term certainty around clean baseload power. And together, we're building a joint commercial platform designed to scale. We are finalizing the commercial structure of the partnership and believe this is a scalable blueprint for high-power demand sectors that prioritize reliability and long-term energy certainty. We were also selected by the U.S. Air Force as the intended awardee for what would be a first advanced vision deployment at a U.S. military installation. Under the terms of the Notice of Intent to Award or NOITA, Oklo was identified as the successful awardee to design, construct, own and operate a powerhouse that would deliver both electricity and heat under a long-term purchase agreement. This represents a major milestone both for Oklo and for the broader advanced nuclear sector. It reflects growing recognition of the role nuclear power can play in national security and energy resilience, particularly at distributed and remote sites where reliable power is mission critical. Oklo is actively working with the U.S. Air Force and Defense Logistics Agency, or DLA, on next steps, and we look forward to providing further updates as the process advances. I will now provide a summary of our financials. Oklo's second quarter operating loss was $28 million, inclusive of noncash stock-based compensation expense of $11.4 million. Oklo's loss before income taxes in the second quarter was $24.3 million, which reflects our operating loss adjusted for net interest income of $3.8 million. On a year-to-date basis, when adjusting for noncash stock-based compensation charges, changes to working capital and deferred income tax benefits, the cash used in operating activities equates to $30.7 million. We still expect on a full year basis, cash used in operating activities to be within the guided range of $65 million to $80 million that we disclosed at the start of this year. In addition, based on our earlier discussion points in this company update, we now see an opportunity to potentially accelerate some modest CapEx investments from 2026 into 2025, which could include advancing deployment activities at INL before year-end, progressing fuel supply and fabrication activities in response to the executive orders and other activities to deploy powerhouses beyond INL. We also completed a successful marketed first follow-on equity transaction on June 12, generating $460 million in gross proceeds, providing the company with additional cash on hand to deliver our enhanced growth agenda. And as a result of the capital raise, we ended second quarter with approximately $683 million in cash and marketable securities on our balance sheet. To wrap up, I want to briefly highlight why we believe Oklo is one of the most compelling opportunities in the advanced nuclear industry. We're deploying proven fast reactor technology in a compact, scalable format designed to reduce cost, complexity and deployment timelines. We are vertically integrated across power generation, fuel recycling and radioisotopes, unlocking multiple high- value revenue streams. Our business model is built around long-term power sales, delivering recurring revenue, margin visibility and customer stickiness. We are pursuing superior economics through standardized design, repeatable deployment and recycled fuel that drives long-term capital efficiency and competitive levelized cost of energy. Our 14-gigawatt pipeline spans data centers, defense, utility and industrial customers, reflecting strong and growing demand. And we've developed a streamlined licensing strategy aligned with our business model backed by regulatory expertise, a repeatable collo path and accelerating federal tailwinds. At its core, Oklo is more than a technology company. We're building an energy platform to serve the world's next era of growth. Thank you for your time. Operator, we are now ready to take questions.
Operator: The first question today comes from Jeffrey Campbell from Seaport Research Partners.
Jeffrey Leon Campbell: Congratulations on all the multifaceted progress. Regarding pressurized water reactor fuel, current law appears to dictate that the DOE cannot take title to utility stent fuel until a permanent disposal site is designated. What's your take on how this might be amended to support Oklo's future recycling effort? And I ask this question in the atmosphere of the significant nuclear power push that's been coming from the executive orders and the deal to fiddle.
Jacob Dewitte: Yes. Thanks, Jeff. It's a good question. So, as the law stands and the policy stands, there's nothing that gets in the way of us being able to work with utilities and the government to take the material and actually recycle it. The main challenge is, generally speaking, having the infrastructure facility to do it. There are some logistical dynamics about what's the best and most efficient path given kind of the nature of the situation, which is that -- by definition, the Department of Energy is supposed to be disposing of this material in a repository that is not happening. So, the Department of Energy is reimbursing effectively the utilities for holding a material on site because they fail to meet their duties under the Nuclear Waste Policy Act. That said, we have a great opportunity to help address a lot of that. And it kind of hits on 2 fronts, right? Like the biggest thing for us is it allows us to deal with fuel supplies. I mean used fuel is effectively 90-plus percent unused fuel. And with recycling, you can actually tap into and harness that material and use it. That's a massive reserve of material. And very importantly, advanced recycling techniques like what we're doing, coupled with a fast reactor like what we're doing, enable you to do that in a very cost transformative way. The paradigm that has largely existed in the academic sphere has suggested nuclear recycling is economically challenging, that maybe arguably has some legs to stand on in the era of much lower fuel costs and when you're trying to produce a fuel that today's light water reactors can use, which requires a much higher purity fuel form, that's not the case with a fast reactor. You can tolerate a much lower sort of purity fuel form. In other words, you can have all the transuranics mixed up together and comingled. The implication then is therefore a lower cost facility, which then you're amortizing a lower cost over more fuel throughput, which means the actual fuel produced from recycling will be a much lower cost even we think, than fresh fuel, like considerably less. So that's a pretty attractive paradigm for that alone, especially given that when we look at how do you meet the order book and how do you scale into the opportunity, tapping into recycling is a massive upside. But it also helps change the paradigm around waste management considerably, right? So, you're taking a material, you're reducing volume substantially. You still produce, no matter what you do, some high-level radioactive waste that will need some form of disposition. But you change the characteristics of it radically in recycling. Generally, you shorten the half-life to be something that decades away in several hundreds of years, not hundreds of thousands of years and you change the nature of the form factor because you reduce the volume, but you can also then co-alloy these fission products to things that you need to dispose of with things like glasses or metals or things like that, all of which open up much more different -- well, you have just a much larger diverse set of opportunities and options for disposal and disposition, which is great because you can create a much more, I would say, community-oriented kind of consent-based siting approach for how you dispose of this, not to mention interim storage becomes a lot more palatable because of the nature of the material and having less volume. That said, some utilities have a different push and pull to get this done sooner than later. Others are sort of taking a little bit of a more, I would say, conservative approach waiting for some of these infrastructure plays to come out to bear. In other words, let us build -- waiting for us to build and start operating before they're going to want to jump into something. But we're finding some constructive engagement with folks to figure out how do you actually find the optimal path to move this material over to us to then be able to fuel it and find the right sort of pathway that manages the different stakeholders, right, from a risk and sort of title perspective in the best way. There is a reality that what we're doing is also a pretty considerable service to managing these fuel to the government who has the title to dispose of it for the Nuclear Waste Policy Act. And therefore, has some benefits that are pretty helpful there. Not to mention, there are some other things we can do, right? We can take some of those fission products that will be disposed of. There are some industrial medical applications for some of those. And I think another kind of key part of this is the fact that really reducing the volume really changes how we think about this stuff. And then I think from the utility side, the most interesting fuel for us to start with is actually the freshest fuel out of the reactor. In other words, the stuff that's in the pools today, not the stuff in the casks. That stuff is also interesting, but if we had to pick and choose, we'd pick the pools stuff first, which is great because that's where the most kind of constrained pressure is in storage. So all in all, like I actually think that on the heels of the executive order, which make it clear that this is going to be a direction that we move into, it builds on work that came from the Biden administration. And before that, from Trump 1, we find that we're in a spot to be executing fully and to actually developing out the right sort of plan to site, locate, build this facility and start receiving and actually recycling material and producing fuel. All that does take time. We've been at the pre-application and site selection work for a long time here, but it's all lining up for us to be kind of accelerating to move a little bit faster, especially given how much it unburdens us on the fuel side.
Jeffrey Leon Campbell: No, that's great color. And we could also add that the taxpayers are currently paying for the storage of the fuel. So there might be an argument there as if there's any resistance to moving that waste towards Oklo. I just wanted to ask you, sticking with fuels. Can you provide some color on the recently announced Atlas effort? It appears Hexium is most focused on Atlas for lithium to produce Tritium at this time. So I was interested to hear how the shift to uranium might be accomplished. I mean I'm aware of the history of Atlas, I mean what's specific to Hexium, how we move them to uranium.
Jacob Dewitte: Yes. I'll just give you a little more color for everyone's benefit. Jeff, talking about Atlas, it's atomic vapor laser isotope separation. It's one of the more promising techniques for isotope separation using some pretty cool technology. I mean, like you combine lasers, isotope separation, it's pretty cool stuff. But it has significant improvements in efficiency, cost and operational characteristics that generally speaking, suggest a lower levelized cost of separative work unit or levelized cost of enrichment unit than centrifuges do in the current paradigm, which has significant upside for reducing the overall cost of fuel delivered to our systems. The techniques used for Atlas can be tuned for a number of different isotopes and Hexium initially was starting to focus on looking at some of the work with lithium just given some of the dynamics that they saw with opportunities for that. But they also saw the opportunities in uranium part of the reason that bringing them in markets and help them sort of move that technology forward. They come out of the same -- in many ways, the origination of a lot of this technology was focused on enrichment capabilities for things like uranium, so the ability to use it for that as well as some other, by the way, stable isotopes that are relevant to the medical isotopes part of the business that we have. They all kind of are actually complementary. So that's part of how we're looking at these partnerships is the ability to produce isotopes in high-purity forms for different use cases. Obviously, the big attractive one is enriched uranium for fuel, but there's also important aspects about producing higher-quality targets with enriched isotopes for radiation and Atomic Alchemy facilities or even just selling the products themselves. So that's an area where we continue to be engaged and focused on in finding the right ways to partner and kind of deepen the partnerships we have in those spaces. Again, sort of at the high level, enrichment is, I think, at this place where we're, for the first time, seeing a pretty significant -- let me rephrase this, first time in a little while, probably in the last 20 years that we're seeing a pretty significant pressure of new technology coming forward because of technology R&D, coupling with an opportunity in the market with this massive demand for new enrichment capacity that's bringing forward new and more innovative approaches that have the potential to significantly change cost curves. Atlas has a long history behind it. And I would argue the large -- largely the reasons it didn't get commercialized on the first go where the market was pretty soft, uranium demand back in the '90s. It wasn't clear if those investments were going to be worthwhile. And then the other factor is, we've gotten a lot better at laser techniques like a lot better technologically in the last 30 to 40 years. So, it's really changed the paradigm to make it an interesting time now for this, which is why we're at that opportunity, while also continuing to engage with folks who are working with more established center use technologies like Centrus.
Operator: The next question comes from Sherif Elmaghrabi from BTIG.
Sherif Ehab Elmaghrabi: On the deal with Liberty, I imagine some of those customers are members of that 14-gigawatt pipeline that you've got. But it's interesting on the revenue side, could Oklo start recognizing revenues sooner, say, when those projects are seeing gas -- generating power from gas?
Richard Craig Bealmear: I can take that. So, it's still early days for how we turn that agreement into an actual set of commercial terms and conditions with our customers, and I'm not really at liberty to no pun intended to say who we're progressing those discussions with. But yes, you're correct. If there was a mechanism whereby we participated in early power sales, and that could potentially lead to revenue recognition for the company.
Sherif Ehab Elmaghrabi: Okay. Interesting. And Jake, one more. In your prepared remarks, you mentioned that you guys have one of the only reactor designs that can run on down blended fuel. Can you just speak to why that is? I thought that was pretty interesting.
Jacob Dewitte: Yes. It's a great question. I think it kind of has a bunch of details into it that obviously I can like to get into. But for times like, I'll be a little brief. There's kind of a couple of ways to look at it, right? So down blended high enrich uranium that's fresh, highly enriched uranium, by and large, is probably going to be useful for most everyone. That said, there's not a lot of that material that's coming available. The material we're seeing is typically stuff that's either going to have been rejected for prior use because of some level of impurity contamination or because it was already irradiated in reactors. In both cases, especially in the latter, you build up isotopes in the nuclear space, we call those the isotopic vectors, but isotopes of uranium that are not conducive to use in reactors that use moderators and slow the neutrons down. I think pretty much any reactor that uses TRISO fuel or graphite moderators or water is equivalent, they can't really use those very well without significant neutron penalties because of the nature of some of those isotopes, whereas in a fast spectrum reactor, it's really not that significant. It's even a penalty at all, so you can handle those materials. Furthermore, the other aspect that's interesting here is another source of this material is the excess plutonium inventories that for the President's executive orders are being made available to industry. That's a sizable opportunity that's honestly, I think, kind of hard to overstate because of the potential implications it has. We're talking about that material could be made into hundreds of thousands of kilograms of HALEU equivalent material. But the nature of that material is heavily biased towards, I would call it, a more streamlined usage and designed to accommodate in fast neutron reactors. And the reality gets into a lot of details, but plutonium-based fuels have a long history of sort of their usage in fast reactors. They also have usage in water-cooled reactors and can be used but there doesn't exist the fuel fabrication infrastructure to support that. And it's a lot more complicated from a reactor -- let me rephrase it. It can be a lot more complicating with the core design and reactor design from what we do today. The French obviously do this, the Japanese have done it, it's solvable, but it introduces a change that isn't exactly the most -- isn't one that I'd say today's operating plants are rushing into necessarily, given that fresh LEU is a superior fuel form. And part of the reason is just because plutonium has a very different -- it's much more absorbing of neutrons, both to fission and to just capture than uranium 235 is the low energy spectrum. It's also in the higher energy spectrums, but that delta causes a lot of localized kind of dynamics that you really have to account for and manage against a light water reactor. Again, doable. But in a fast reactor, it's just frankly, easier to achieve and accommodate. And also the fuel fabrication for plutonium bearing materials using the fuel, which is like what we use can just be done in a way that from a facility design and management perspective, generally speaking, has just simpler considerations than around, for example, fabricating into oxide fuel for light water reactors. So there's a lot of nuance around it, but it's one of the key things that's pretty attractive and differentiating for us. And we see those materials as being pretty valuable and the opportunity to sort of bridge us you use those materials in the near term that then help us alleviate the demand need for HALEU in the very near term, which then gives us a lot more grace as those supply chains build up so that we can start shipping fuel and reactors more quickly as a result of that. So that's one of the things we're working towards and are excited about on the heels of those executive orders.
Operator: J. Dorsheimer from William Blair has the next question.
Jonathan Dorsheimer: Jake, first question for you is just as you look at your pipeline and as you look at the opportunities and conversations, I'm curious how you're thinking about the opportunities behind the meter versus front of the meter is there seems actually to be almost more excitement behind the meter around data center build-outs. And so I'm just curious how your -- how you would think of the power generation domestically split between those 2? And then I have a follow-up.
Jacob Dewitte: It's a great question and what we see is it's evolving pretty considerably and kind of just goes at the pace of different opportunities and different announcements of kind of everything from policy to build-outs to actual projects. So, I think what we're finding is paper, I would say the bias is majority focused on behind-the-meter applications and opportunities. But the practical reality of getting to that seems to focus probably more near term on some front-of-the-meter deployments before that happens. And what I mean by that is I think it depends, right, because we are in conversations, we were talking about Liberty have the nature of both of those happening. It's just that delivering kind of the right suite, which is part of why the partnership with Liberty is so important, delivering the right suite of options to deliver power at that reliability and availability rate. I'm confident that in time, nuclear can demonstrate and validate it and do that. But to start with, like it's just a little bit more economically challenging to do it on a pure nuclear solution versus having a diversified fuel source. So long story short, I think we're finding that in many ways, the behind the meter is more elegant on paper and makes a lot more sense. But in some of the near-term actual deployment realities and implications, being grid tied and connected to it is helpful. Now I'm sorry, Jed, I'm probably over- interpreting towards more -- when I say behind the meter, being I'm saying truly behind the meter with like minimal expectation of the grid. I think where you're behind the meter and you're connected to the grid, that is kind of probably that near to midterm sweet spot while all these things evolve. But I do think there's, generally speaking, some degree of preference there, but we also see, in some cases, the front of the meter has some high value in certain markets. But I feel like I'm just kind of giving you a long rambling answer to say we're seeing it's a mix and it varies heavily by state, by location, by customer, but it does feel like probably the weight of it prefers a behind the meter offering in time.
Jonathan Dorsheimer: Yes, you hit on it. I mean I think the hybrid was really what I was getting after. It seems to be where most of the demand is developing right now around SMR. So that's why I was asking. As my follow-up, just shifting gears on the radiopharma market, it's about a $30 billion opportunity. I'm just curious, is there a -- and growing, I should say. As you look at the isolation of particular isotopes, obviously, small quantities can sell for a tremendous amount of money. Are there specific isotopes that you have an inherent advantage or moat around given your processing capability that you're going to be focused on? I'm just curious as those might be specific to certain drugs or applications. Any more details around that would be helpful.
Jacob Dewitte: Yes, I love it. It's awesome. And we have -- there's so much more that will be unfolding going forward on this because you are nailing exactly it, which is how do we prioritize select and where are the ones we have sort of unique advantages into. So, starting at a high level, like what we see is there are some near-term opportunities on a couple of sort of isotopes that we're going through looking at what those markets like -- and kind of the supply chain pieces are to prioritize as part of some of our pilot efforts that are happening out in Idaho right now. But then from there, we see a pretty significant scaling advantage, and we're looking at ways to get engaged in and possibly even opportunities to maybe invest into the supply chain or at least partner in the supply chain to sort of enhance what we see as some of the moats that we can build and have in terms of some of the production of either sourcing of stable isotopes or just rocked targets. But I think at the -- at scale, so I'm kind of giving you a little bit of an answer of come back again because we're going to have a lot more as it comes. But I think at scale, the other thing we see is that part of the angle of why we're attracted to Atomic Alchemy, it's kind of twofold integration. One is the benefit of being able to pull stuff out from recycling where we do have some isotopes that are going to be made in bulk quantities, things like Stronium 90 in particular, but there's a bunch of others that have interesting potential industrial applications that are -- could be unlocked at scale in a voluminous way based on what recycling can tap into, which is a pretty cool space to be in. So, there's that kind of piece. And there is some a lot of those isotopes are generally going to be longer-lived isotopes that are held up in the waste because most of this waste has been decaying for some time. So, there's that part and unlocking some of the things you can do with those that right now, frankly, don't really exist. And that's one of the hard things, but cool things about this is some of the stuff we're going to pull out and going to be able to pull out. People haven't even bothered to look into the use of it because it's just not available to even research with or study very much, so they don't prioritize it. But we expect this first to nucleate an entirely different ecosystem and philosophy around research and development around different isotopic uses because of all of a sudden it becoming available. And then additionally, there's a direct production kind of on a specific basis of radiating targets and producing that material, which is part of what we were attracted to Atomic Alchemy's Viper reactor design to do, given that we see it as one of the sort of most cost attractive options we've ever seen, where it's kind of a -- I'm going to use a very blunt kind of analogy, it's not maybe the best, but like instead of building -- designing and building a custom Formula 1 race car to produce some of these isotopes that's extremely expensive, but can produce some of these isotopes and the cost of those isotopes actually can justify doing so. So, it's fun from a technical perspective for sure. It makes the deployment development everything really, really hard on those, which is why a lot of these reactors haven't been built. Instead, Atomic Alchemy took an approach saying, "Hey, let's just build like a Ford F-150 version of a reactor that does the job, maybe it's not as fast as some of these other things, but it's totally buildable, suppliable today, and you can build a lot more of them and just have -- make neutrons more cheaply than maybe anything else to irradiate these materials and produce them. So that then allows us to tap into those known isotope fields with a potential vector being more cost competitive than what exists or just lower cost of production, frankly, than what exist. That said, I think those markets seem to be in many ways today in an inelastic state of demand. So, you just keep supplying and they're going to take as much as you get, but there's also the case where having that capacity and that flexibility and that versatility of different isotopes can actually open the door to do more things. So I'm kind of giving you a non-answer, Jed, but it's partly because we'll have more to talk about there soon, but also part of this is actually looking at what this opens the door to incentivize and create an ecosystem that thinks more broadly out of the mindset of abundance of different isotopes that right now, people can't even think about using. So, there's the usual players, but I think there's a lot more that could be coming in the horizon because now we can focus on how we can actually produce those and not be as scarcity limited as we have been. So yes, I think it's -- like you said in your comments, it's that size market and I think growing. I think that's one of the things we see as a way to unlock even more growth is by sort of bolstering production and availability of a much more diverse set of radioisotopes, but then we'll get more use cases of them because people will bother to actually invest and use them, which you can think about creates a really cool ecosystem to be a pretty significant part of. So that's part of how we see that playing out.
Operator: The next question is from Ryan Pfingst from B. Riley Securities.
Ryan James Pfingst: First, could you give us a sense of potential timing around Eielson project milestones or maybe just how licensing and development might differ for projects located on military or defense installations like that one?
Jacob Dewitte: Yes. It's a fascinating question because the reality is all shifted a lot on the heels of the executive orders being signed. Obviously, a strong focus on those was leveraging defense use cases and accelerating defense use cases. This is a great one of those. But it does set the stage for some interesting things to be supportive of either more streamlined or potentially, I would say, more like focused and therefore, potentially faster reviews on the environmental and fighting aspects of this. The Air Force has pursued through the Eielson project, and they want -- they want us to get an NRC license for this plant. So that's the general plan. Of course, they also have the capability of the Defense Department to authorize on their own. So should that be something they want to do for other deployments or in different cases or even do different things, they have that optionality, which is kind of cool. That said, the nature of that facility and working in Alaska is, of course, interesting and unique. And so, we're going through the aspects of actually getting all of that work in motion and the siting work to then sort of come forward with what the timelines and the various details of that are going to look like with respect to like application submission timelines, wind of expect to break ground, do all that kind of stuff. Given that you have a short construction window, given all of those factors, it's obviously very seasonal. It's like we have to kind of play with and optimize against those. So, what we expect at the moment is going forward, we'll be able to get into the more detailed site work and everything we would need to do really next summer and then the schedules will kind of anchor in accordingly from there. But it's all actively developing as part of this path. And I think the Air Force has said this a couple of times in a couple of ways, but I think of it as the pathfinder aspect of this. They see huge opportunity for what nuclear can do to bolster their mission capabilities. And I think what they want to see is how we can or what they want to do is be able to work with the industry to find ways to deliver that in different models of what that needs to look like. One of the things you're constrained by any time you're working with the government is their contracting structures and mechanisms. And so also in addition to working with those and finding the right pathways for that to do the things that they want to see happen. A heavy amount of focus from Defense Energy in the past has been using defense land to build renewable projects that are effectively shipping off the grid. Maybe the defense department is benefiting some from that, but this is different, right? This is internal facing and so prioritized. I mean, it's cool, it's a little different, but pretty cool, but also opens the door for just the combination of different approaches of how we optimize that. And additionally, it's not just electricity they're buying, there's a lot of steam that they're buying from our plants, too. So, what that means is if you think about what a nuclear system is, it's primarily producing heat. Typically, you produce that -- you turn that heat into electricity. But in this case, you siphon off some of that heat before it gets turned into electricity and actually use it to heat infrastructure. And that has obviously a lot of value for a lot of reasons. So especially up in Alaska. So, it's a little bit of a -- it's developing and we're working through all those pieces, and we'll continue to keep sort of the market updated as that progresses. But that's how it's sitting -- basically how it's progressing and how it's sitting up now.
Ryan James Pfingst: Yes. I appreciate that, Jake. And then for my second question, shifting away from the federal side to commercial customers. How should we think about LOI to order conversion at this stage? Does the Liberty collaboration and some of the other partnership announcements you've made recently accelerate when we might see a firm order with one of the data center customers that's in your pipeline today?
Jacob Dewitte: Yes, I'll start with a little bit and then ask Craig to jump in as well. But I think in general, it's supportive in opening up different apertures of the conversations. But as we've said generally in the past, what we find is the demand isn't going anywhere. The opportunity in the market is pretty significant. The details are then figuring out the right ways to constructively build long and deep partnerships that really manage kind of the various aspects of these projects and the deployment realities in a much more sustainable and scalable way than just rushing into a PPA to make it sound kind of a little bit simplistic in how I answer that. But that is kind of the reality, which is we continue to keep these conversations at pace, and we continue to find a lot of enthusiasm and excitement. It really just seems to be as we kind of progress these things, the opportunity space of what's possible in terms of deepening and strengthening ties is looking at all parts of sort of the ecosystem to be supportive of our success and also, honestly, candidly, the success of the nuclear industry as a whole. And we're excited about the positioning we have to kind of help lean into that. But yes, I mean, on the Liberty side, it does help set the stage for doing some things a little more, I would say, well, a little different cadence in Tempo in some cases where you have that gas infrastructure. And what we continue to see is that the focus tends towards nuclear is a long-term solution, gas having a lot of opportunity in the near term. And really a cool thing for us is, we've been kind of pioneers in that bridging gas to nuclear on a new capacity, new deploy perspective. And I think we're seeing how that kind of unlocks thinking about different sites and different cadencing in different ways. But yes, so I'd say it does help. It kind of changes some of how we kind of cadence and tempo some of these customer discussions. But at the same time, we're still kind of focused on the macro, trying to make the most of the opportunity, if that makes sense through kind of the right partnerships. I've talked for a long time, though, Craig can add some more detail and color.
Richard Craig Bealmear: Yes, I would just say partnerships take time. And because we're trying to do things beyond just optimizing on a PPA price, I think it will take us a little bit longer to get things in place, but for all the right reasons. Our business development team stays quite busy and is traveling quite a bit, and they're keeping the legal and finance team quite busy as well. So, I think we're moving things. And it also a little bit goes back to Jed's earlier question around -- I think it's safe to say that the interest in front of the meter feels like it's grown a lot in the last 12 months. And I think that's also where we're trying to be customer responsive as we progress those customer discussions. And as I think I've said, Ryan, probably on earlier calls, we're entertaining prepayments like what we did with Equinix, things we might do at the asset level investment. And so there's a whole host of avenues of things that we're exploring with our customer base at the moment.
Operator: The next question comes from Derek Soderberg from Cantor Fitzgerald.
Derek John Soderberg: My congrats as well on the capital raise. I'll just keep that one question here. Jake, in the prepared remarks, you mentioned TerraPower's regulatory timeline. I think you said it's sped up by 6 months. I was wondering what the reason for that was? What did that entail? And are you already seeing some tangible benefits from the executive orders on regulatory timelines? Could Oklo see a sizable timeline shift forward as well?
Jacob Dewitte: Yes, I appreciate the question. I think that's one of the exciting things is we've seen the NRC be quite responsive and take an approach lines that reflects clearly what the policy objectives and goals of this administration are to move those things more quickly based on what they did with TerraPower. And we're similarly seeing benefits. It's interesting when we went public, when you kind of had a review path of 24 to 36 months to then the ADVANCE Act capping things and the different contingencies around the 25-month period to now saying it's 18 months, like it's pretty great. That's helpful. That said, there's still, I think, various things and then and what we're seeing in the pre-application space, I think, is constructive to those things. I think it's been interesting because we went through Phase I readiness that helped the NRC map out, especially in the wake of kind of where things are now, how they would plan to do the review, make sure they had all the information they need to do it, which kind of amplifies in some ways the importance of those. We were pretty encouraged as well that we had no sort of significant gaps that were needed there. That's a big win for us and for the NRC, I think. So, at the end of the day, we feel pretty good about where that positions us on that part. Still a lot more work to do, but that's good. And then looking at the next phase in Phase II and that progressing, I mean, I think it will be very clearly aligned to say, okay, let's make sure we have a very strong like angle on how we get through the actual licensing steps and process in that 18-month window, which is just great for everybody, right, because it accelerates things for us. There are other aspects that play though, we have to be mindful of just the realities that can perhaps raise the bar a little bit on the front end of what's on the acceptance side and how the NRC plans. We want to be mindful of that. Obviously, part of why we're doing readiness assessments is to manage that, but that can be something that affects those timelines and how we think about making sure we're submitting something that's in the best sort of position for everybody. And then additionally, one of the things that we're pretty intrigued by is how the EOs are setting the stage for completely different licensing pathways, which is pretty powerful given that there's still a lot of moving parts at the NRC front, but opening the door for things that might be doable under Department of Energy authorization that could accelerate timelines considerably for a number of things. That's pretty dang exciting, too. So, we're engaging in those to look at ways that might accelerate our ability to bring something online. There is a path potentially to having a regulatory review done under the Department of Energy, build the plant, turn it on. And then after you've kind of done that initial work, you can transition to the facility. These are things that haven't really been done before, but that's kind of the beautiful thing about today. We're actually reinvigorating the whole ecosystem to think outside of the boxes and the shells that we as an industry have thought in for the last candidly, 50-plus years. So now there's like so much more potential on the table about, hey, what could we do? What could this look like? Like there's no reason that can't necessarily be done. Maybe that's a faster way to get some first plants built. Maybe that's a faster way to get through [Technical Difficulty] first licensing challenges and hurdles. So, there's not a clear answer yet because we're still not even 3 months out from those, but we're working through both sort of all parallel paths that we can to sort of optimize against what makes the most sense, not just from a time perspective, but from a time and from a scalable and deployable perspective to kind of enable us to try to get more plants built sooner and faster. And so, when I think about things simplistically, the executive orders really drive more aggressive timeline schedule, which is great. That means you kind of take some of that permitting challenge and risk of timing risk to a different level, right? So, it's a different kind of -- you got a lot of risk reduced just by that. But then additionally, you have a totally different change of kind of the fuel side because of what's happening in the EU to make more fuel available from this excess plutonium material that could support dozens of reactors being built without needing any HALEU like that's huge because that helps set the market for us to then build more plants, have stronger partnerships with HALEU providers to then get to those HALEU kind of production goals at the right pace and scale. So, like it's a very, very supportive ecosystem right now that's really changed the equation from where we were just 3 months ago, frankly.
Operator: The next question is from Craig Shere, Tuohy Brothers.
Craig Kenneth Shere: Hopefully, some quicker ones for me. So, do you have a timeline or road map for announcing PPAs on your INL plant? Do you have line of sight on sufficient fuel for full 75 megawatts there at this point? And given government support with rejected plutonium fuel that you say can support a lot. At this point, once you get past initial regulatory hurdles, could we see multiple powerhouses all announced at once?
Jacob Dewitte: Yes, good questions. Yes, we continue to move through. We're finding that there is more interest in power from the Idaho plant from different folks and then different ways, not to mention the other benefits we get from it. Part of what's beautiful about that plant is the benefit to provide fast neutron radiation capabilities. We're continuing to explore different ways that we can partner with government and other things -- other groups and focus on industry and academia, leverage some of the positions we have there, utilize some of that. Additionally, part of the -- what we're doing with Vertiv is setting the stage to build a pilot thermal-based cooling system at that plant and demonstrate that which is great. That's getting some interest from different folks to come in and be part of that. So, we're finding it's probably going to be a mix of offtake and use case, and that's what's been important about how we structured that is to be flexible. I guess I would say I've long bet that there would be a lot of demand for that power, and we're seeing that that's definitely the case. So, how we structure it, again, gets back to the prior conversation of what Craig was saying, looking at the right ways and making sure we're doing all the things that get the most for sort of where everyone wants to be and how to structure it in the right ways. But the main value to me in that plant is getting it built, but it's obviously great that we can do additional things with it like we're showing. And having a diversity of use cases like we're showing is pretty important, too, because you find different ways to get different partners to the table in meaningful ways, too. Bridging from that to the fuel piece, yes, we are uniquely positioned with those 5 tons of material that's awesome. We would like to have some more to run that plant in a normal way all the way up to 75 megawatts and it's pretty clear that there's a number of sources. It hasn't been finalized what we're going to do with that, but there is way more material. So, we're working through the different logistics about how and what the right sources and cadencing is going to be for those with in mind -- well, let me rephrase while maintaining in mind the other part of what you said, which is setting the stage for multiple announcements kind of at once. I think one of the things that we see that is exciting about fast reactors and recycling is the ability to effectively tap into known reserves of heavy metals and power the entire planet's energy needs for basically the durable lifetime of the planet. It's a bold aggressive thing to do, but physics in many ways is for that. So, building out the right pieces of infrastructure to actually realize that is something that we've long been motivated, driven by and dream of. So, part of that includes getting the right pieces in place to build a lot more plants a lot faster, right? And that's what we can do on the heels of the EU announcements. So, I think what we see is, generally speaking, working towards what the next plants are going to be and figuring out the right partners that we can have at the table to make those [indiscernible] to next. And then most of our conversations after the sort of Idaho and Airport pieces, those become larger campuses with more plants at them. So that's kind of how we explore that. So, yes, I mean, all of that has set the stage very favorably for that. But again, we could run it and have something more quickly, but leave some significant things off the table, which we think is the less optimal thing to do than build the right partnerships that help us really be successful in delivering all these things we want to do, which also, by the way, is what's so exciting about nuclear today, of building the right kind of dynamics and partnerships to do this. And one of the nice things about our model of designing owning and operating, we have a very clear sense and insight factors we need to drive and manage our that when we find partners who can lean in to help us with those can do so in the most accretive ways. It's a lot simpler. This is a crude analogy, but to kind of have a 2-body problem like that in that sense than it is to have a multi-body problem where you might have a utility in between a developer or even both or all of those in between and trying to figure out and solve for the different pain points has it just kind of complicates the deals in the space of operation. So, it's helpful for us that we kind of have this approach. Now I will say another thing we're seeing, though, and is a possibility always been the case from onset for the business. I think we've long been convicted that utilities aren't really going to be interested nor are they really the right ones to move forward on first-of-a-kind deployments for these kinds of technologies. But they can be very useful partners in some cases where you build and develop yourself unlike we're doing, we make this easier, you could turn the -- flip the asset over to them, you could sell the assets to them, right? That is a possible thing that can be done and something that was kind of baked into some of the story -- not stories, but conversations that [ Carolyn ] and I had before we founded the company way back when. So, I think it all the stage for some pretty accretive dynamics for how it's all come together to, I would say, make nuclear pretty like clearly inevitable is how I would characterize it for my opinion.
Operator: Eric Stine from Craig-Hallum is next.
Eric Stine: Hey, Jake and Craig, just want to sneak in a few here at the end. So, the topical report accepted by NRC, I mean, is there a way to think about the timing of that process? I know that you're kind of taking a different path. So maybe that's a bit of an unknown, but maybe initial thoughts on how that speeds up the timeline? And then once you get through that, kind of what percentage of the process would that take care of that you then don't have to replicate for each successive deployment?
Jacob Dewitte: Yes, I think there's an interesting cadence of tactics and strategy about pre-application and topical reports. I think there can be an appeasement strategy where you feed the NRC just and don't actually move deeply into the licensing space until you spend a lot of time doing all that and be very conciliatory and not be kind of innovative and leaning into the opportunity to do things, especially now a little bit differently. I think that's been the playbook that is kind of how the industry has thought about things before, but hasn't really yielded very many successful results clearly. But what we see is more important to kind of leverage them in a much more strategic way in terms of targeting and achieve beyond just the first plant instead of kind of taking some what a topical report is, is an ability for like you to take an issue or a regulatory issue to the NRC, I'm being obviously a bit simplistic in close deal, but to the NRC and have them do review and issue some kind of safety evaluation report typically out of it, which provides a good precedent to be able to reference going forward in future applications. So in some ways, you're able to do some -- let's like preseason licensing, but where the score actually counts. So maybe better analogies, early season games. I don't know, anyway, the score does count, but you don't get the whole thing at once. It's a great way to like compartmentalize or incrementalize certain things you need to do. It's also a really good way to deal with generic broad cross-cutting issues that might affect fleet-wide considerations, like in our case, are we looking at licensing operators or instead of licensing a single operator to run each individual single reactor, which is the typical model or maybe site, which is a typical model, it's actually a trained operator can run any of the plants of that class anywhere wherever they are. It looks a lot more like how aviation does pipe ratings, right? So instead of having a pilot that can fly one or maybe 2 tail numbers of a specific plane like Airbus or Boeing 737 or A320, like now you instead have -- that would be insane and really inefficient, probably why they don't do it. But when you think about smaller reactors and more of them going to a model where instead, "Hey, no, I can actually fly all A320s or 737s or whatever, bigger plane." That kind of pipe rating similarity is at play here where you can then do that for the whole fleet of reactors. So there's a lot of scalability benefit to that. I think the general time line has been about 12 or so months from that. That does take some of the operational considerations that we will be able to reference some of those with our applications. But what it's really mostly helpful for is actually for the plant second, third, fourth and beyond. That's where it's a lot more helpful, always have been building this kind of thing. It's kind of like when I think about licensing, I think about going back when I was younger playing sports, whether it be soccer or golf or whatever, you don't swing at the ball or hit at the ball or just kick at the ball. You got to kick through, you got to swing through, right? You got to follow through. And that's the same thing here. We're not optimizing for just the first. It's about how we set the stage to hit the things after that. So through the first and beyond. And so that, for example, is a very clear one to do. There's additional things we're working on with the NRC from the preapplication perspective that helps set the stage for that. So we expect, I would say, it's pretty hard to point to a specific point of singular acceleration for the first plant, but it's going to provide significant acceleration for the plants thereafter, which is part of what's so important about this kind of model and how we've kind of taken that approach. And then accordingly, on the tactical aspects, these are all strategic implications in how I think about it. There's some tactical aspects, too, which is maintaining the right momentum with kind of the right review teams and right reviewers at the NRC on different items of interest. And so making sure you kind of have the right content in the right way in the right order to sort of deal with setting the stage for successful review is pretty important to focus on getting the right review and that's how we've tried to approach it. So that's kind of how we've set the stage for executing into that. And I think like doing a custom 52 approach, they're taking a lot [indiscernible] to this, and yes, they referenced the design certification, but there's a lot of one-offs in between them and even differences in how they kind of looked at the actual plant builds on a site-by-site basis to some degrees so that like given what we're trying to do here, that full approach we don't see any significant departure from this. It's not like we're taking a Part 53 licensing approach or something like that. This is a Part 52 combined license. [indiscernible] kind of putting those together. But what's nice about that is you don't have to deal with the pains of regulatory rulemaking, which is what the design certification is. So from an actual administrative perspective, rulemakings are way harder than license issuances from an evolution and development perspective because of what you have to do for rulemaking or how it's typically been done. So like at the end of the day, that's how we saw some of the advantages on that kind of approach to combine those things. [indiscernible] scalability. Like it's really about, again, like subsequent licensing, this industry has done a lot, but we haven't had a lot of subsequent license [indiscernible] did a lot of work because we had a hard time getting through the first plants, right? So now we're looking at seeing those benefits come to bear. And I think that's one of the cool things is the NRC has spent a lot of effort and time to be ready to do that. I mean they did do a lot of that. It just didn't get built, so it's great that we can tap into doing a lot of that as well from a subsequent license application perspective, from the reference license application perspective.
Operator: Next up is Max Hopkins, CLSA.
Maxwell Ayers Hopkins: To be brief, so you guys mentioned the MOU with KHNP. I want to touch on the supply chain. I guess, as you guys move forward, you said 70% of materials could be nonnuclear. For that 30% of nuclear required components, are you guys looking to Korea more to maybe BWXT in the U.S.? Or is there any focus on kind of those nuclear-specific materials coming down the line?
Jacob Dewitte: Yes, it's a great question. And I'll zoom out a level real quick because I think this is kind of a key narrative piece. There's a whole thing about nuclear having been expensive and difficult and those other things for time to build and understand why and where that comes from, the real experience. We've also seen success stories through the things that people like to point to for big plants. But there's another whole vector of attack here, which is what we, I think, as an industry need to think a lot more about, which is how we get back to realizing the true cost potential of nuclear. Look, there's the term I know it's we've used it before. I think it comes out of SpaceX and from Elon Musk, but was the idea of an Idiot Index of what's the ratio of the actual delivered cost of something divided by its actual cost of raw materials. And in nuclear, a lot of times, those are really, really, really high multiples. And a lot of that points to, for a lot of reasons, just kind of how things have been done in the industry, but it's not how they have to be done because, again, nuclear has the fewest material needs per megawatt hour of all energy sources. So there's a lot of room for cost improvement, frankly, just there. And the way I see it and in my experiences, and I think that we've seen at Oklo and what we've tried and designed towards is there's kind of 2 main ways you attack that. One is designing systems that have the passive and inherent safety features that reduce the number of what are called "safety-related or safety grade or nuclear-grade" systems and components. That's one thing, right? And study fast reactors based on what EBR showed, have a good kind of trajectory on hitting those inherent and passive safety features, but then they have a lot fewer things that are required for the safety kind of functions in the plant. The other aspect is how you deliver -- how you actually deliver the parts that need to fall under that kind of oversight or maybe just unique enough because they're only supplied in nuclear, how do you modernize some of that? And there's a whole bunch of opportunity there because in many ways, the nuclear supply chain went out of growth mode by and large, in the '70s and '80s, and it has only now started to come back. But when that happened, we were investing in modernizing the actual processes and procedures and protocols and even just methods of manufacturing and fabrication as well as quality assurance compliance, there wasn't a big impetus to do that. Well, because those changes can be expensive. But we actually have a really big benefit and opportunity to take that and do it differently in a more fresh way today because of how you can work with doing sort of meeting those requirements in a more modern way. If you think about where the world was when those things happened, we were building a lot of Ford Pintos to be candid, right? That was what was going on then you have different level of quality assurance, a different level of expectation at an industrial level. And in fact, I would argue that in many ways, industrial quality assurance has cut up, if not leapfrogged kind of what typical nuclear has been and -- but done so in a much more efficient and effective way. So you can obviously -- and also the pathways by which you achieve the kind of functional outcomes and outputs can be done the same way with like -- with these modern -- I mean, it's not exactly the same, but you can do commercial grade education for these pathways to actually get them to meet what's required in the industry or from the regulatory basis and from a quality control basis. So there's actually a lot of opportunity just from those 2 to drive a total change in cost, which then opens the door for how you think about the suppliers to meet that 30% mix of who fits into this. And yes, some are going to be some legacy, but not large pressurized water reactor. We're not even a small pressurized water reactor, which means we have a very different set of what we can buy and use in the plant. We don't need a pressure vessel because we're not pressurized, right? We can use common alloys of stainless that are used in many other industrial applications that are shown to be compatible in a sodium system. And so you kind of basically partner up and work with different folks, both legacy as well as some newer entrants who want to get into this business and help them kind of meet what's required and do so in a, I would say, a more cost- effective way. So it's kind of an all-in very comprehensive approach on how you attack this problem and do things a bit differently. It's not the best -- it's not always -- it's not the worst always, but it's also not always the best to go to legacy incumbent suppliers because they're used to doing what they've done, trying to get them to modernize can sometimes be challenging. So you find the right ways to work with them, but sometimes it's just better to work with some others. So a big focus has been we have opportunities to partner, obviously, with what's been done. We don't need all the full capacity of what the Koreans can do, but obviously, that means they can definitely do what we need them to do. So there's interesting dynamics there. There's also interesting dynamics about different fabricators [indiscernible]. And we found that some legacy providers and suppliers are really excited about modernizing and they see us as a big pathway to do that because it can help them get experience of doing things in a more modern and efficient way, but then also apply it over the rest of the operations and maybe change their cost curves as well. So like at the end of the day, we see it being pretty attractive to do that and kind of push on that angle of attack. So it's a long-winded answer that's deeply ingrained in Oklo philosophy. And another thing is by building a lot of plants, you can kind of find an approach where maybe you find a couple of different partners for the same system. Maybe not, it just depends, but it gives you that ability to then find the best ways and right ways to partner with folks to be able to buy things from and do so at the right cost or just partner in a way to help them do it with ourselves or us do it, right? So it's a full dynamic about how you attack that problem. But at the end of the day, yes, it's quite helpful that we have, as I like to think about it, the physical cost drivers are generally on our side because we have such a material advantage as the nuclear technology as a whole. And I'll just say like changing that paradigm from a light water reactor, if you're a light water reactor has different complications and challenges. And I would say, in many ways, it can be harder than it is to do it from like an advanced reactor perspective because light water reactors have a pretty specific way of doing things. And if you're going to try to do something differently, given that's the bulk of the plants operating today, there's a lot more inertia that's kind of resistant to that change and/or modernization or even just lack of appetite, a better way to do it than it is if you're a technology that doesn't have that same paradigm and can bridge outside of the sort of incumbent nuclear supply chains effectively. And that's a big feature that sodium fast reactors have -- and in some cases, I think, have a broader envelope of opportunity than kind of any other type of technology because of the material compatibility and the technology kind of the operating temperatures in the history of operation. It's a little hard to do that also with gas reactors, I would contend just because, again, pressurized larger scale volumes, nuclear-grade graphite, all that. It doesn't mean it can't be done. It's just a different attack.
Operator: And everyone, at this time, there are no further questions. I would like to hand the conference back to Mr. Jake Dewitte, Oklo's [ Chief Financial Officer ], for any closing or additional remarks.
Jacob Dewitte: Yes. Thank you so much, and thank you, everyone, for calling in today. Excited about the last quarter marked for us a pretty sizable change in the entire nuclear landscape, including, frankly, the art of what's possible in the wake of sort of the monumental changes made by President Trump and his executive orders, build on massive changes already in hand that go back to President Biden and the ADVANCE Act and work done around the Inflation Reduction Act to support nuclear and then go beyond back before that to President Trump first term with NICA and NIMA and those bills and then additional executive order signing and then back before that, even the President Obama. I could actually go on for long, but the reality is it's a very exciting time here in that we see a clear setup for a need for what nuclear to offer policy support that helps solve some of the biggest challenges or risk factors, including permitting as well as fuel supplies. So we're excited about watching how those fully unfold. That said, there's still obviously a lot of work to do to capitalize on this. But it's a pretty -- it's frankly, it's a person who grew up in this space and loves this technology and loves this field, it's pretty hard to not find myself sort of pinching myself to make sure this is the reality that we live in that we have such a clear ecosystem of support -- and support in the most meaningful ways possible to actually go to execute on realizing the real promise and potential of the atom. So very excited about that. Very excited about what we accomplished in the last quarter and looking forward to what's ahead because there's a lot more to do. So thank you, guys. Thank you all.
Operator: Once again, everyone, that does conclude today's conference. We would like to thank you all for your participation today. You may now disconnect.